Operator: Good day, ladies and gentlemen, and welcome to the Baker Hughes First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mrs. Alondra Oteyza, Director of Investor Relations. Ma'am, you may begin.
Alondra de Oteyza - Baker Hughes, Inc.: Thank you, Vince. Good morning, everyone, and welcome to the Baker Hughes first quarter 2017 earnings conference call. Here with me today is our Chairman and CEO, Martin Craighead, and Kimberly Ross, Senior Vice President and Chief Financial Officer. Today's presentation and the earnings release that was issued earlier today can be found on our website at bakerhughes.com. As a reminder, during the course of this conference call, we will provide predictions, forecasts, and other forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance and involve a number of risks and assumptions. We advise you to review our SEC filings for a discussion of some of the factors that could cause actual results to differ materially. Also, reconciliation of operating profit and other non-GAAP measures to GAAP results can be found on our earnings release and on our website at bakerhughes.com under the Investor Relations section. And with that, I'll turn the call over to Martin Craighead. Martin?
Martin S. Craighead - Baker Hughes, Inc.: Thanks, Alondra, and good morning and thanks for joining us today. I'm going to cover three topics this morning. I will discuss our first quarter results and the market dynamics we observed during the quarter. Then I will share our perspective on the industry and highlight how our new product introductions are targeted at optimizing well construction, production, and recoveries in this market environment. And finally, I will provide an update on the GE Oil & Gas transaction and how this combination will uniquely position Baker Hughes for the future. Starting with our first quarter results, we increased our adjusted EPS by $0.26 from the fourth quarter and achieved our third consecutive quarter of positive adjusted profit from operations. Turning to the top-line, we saw solid growth in our North America onshore well construction business, particularly in our leading rotary steerable and drill bit offerings, reflective of our strong franchise in these product lines. This growth was more than offset by the deconsolidation of our North American onshore pressure pumping business, lower international revenue, which is related to non-reoccurring fourth quarter product sales, seasonality and price deterioration, and also spending declines by customers in the Gulf of Mexico. Adjusted EBITDA grew $43 million sequentially for an EBITDA margin of 14%, and looking year-over-year, in spite of a revenue decline of 15%, EBITDA increased by $200 million. Looking more closely at the market trends in the first quarter, the ramp-up in North America has been more robust than many had expected. Along with this growth, we've had to work through the challenge of supply chain tightness, with labor and materials cost inflation impacting select product lines and basins. In addition, while we have seen signs of service capacity absorption in select product lines in some North American basins, there is still a fair amount of excess service capacity that must be absorbed before service pricing gains can take hold more consistently. And to that end, for most drilling-related product lines, where we have seen strong demand, we believe we're on the cusp of pricing recovery. What we're seeing today ties back to what we said in October, when we outlined a series of milestones that we believe need to be reached in order for a broader recovery to take place, and before market predictability can return in a meaningful way. First, we said that supply/demand surplus had to be balanced, allowing commodity prices to improve. Now, since then, we've seen OpEx implementation of production cuts. But at the same time, we've also seen a significant growth in U.S. land rigs, along with an increase in production. In addition, inventory levels have remained stubbornly high, while more recent projections for global oil demand growth have been scaled back. Second, we said that commodity prices needed to stabilize and be sustained in the mid-to-high $50 range for confidence in the customer community to improve and investment to accelerate. And third, we said that activity needed to increase meaningfully before excess service capacity could be absorbed and pricing recovery could take place. Kimberly will talk more about the near-term market outlook, but in the context of those three milestones, I would characterize the North American market as still finding its footing but continuing to head in the right direction towards reaching those thresholds. At the same time, we remain mindful of geopolitical dynamics, economic growth, fiscal policy and currency fluctuations, all of which remain variables that could impact supply and demand, and by extension, oil prices. Next, I'd like to spend a few minutes sharing some observations about North America, and then I will provide some perspective on international activity. Starting with well construction, U.S. land has evolved into what I would describe as a bifurcated market, in which operators are demanding highly advanced solutions, such as our leading AutoTrak rotary steerable family, for certain challenging applications, and on the opposite end of the spectrum, conventional motor drilling and low cost completions. Both ends of the spectrum are growing and represent continued opportunities for Baker Hughes going forward. For example, as operators continue to drill longer laterals to lower their cost per barrel, this shift plays very well into our strength in the drilling and evaluation product segments, particularly our rotary steerable franchise and diverse offerings of innovative drill bits. In the first quarter, we saw strong growth across our drilling and evaluation product lines. In fact, we're sold out on the latest generation of AutoTrak and, as a result, we're accelerating our manufacturing to ensure that we continue to capture this ongoing growth. Turning to conventional drilling. We have been making strategic investments to enhance product development and our supply chain for the North America market. Later this year, we are opening a Motors Center of Excellence in Oklahoma, a fully automated robotic facility that will produce more cost efficient drilling motors, while allowing us to achieve greater maintenance and reconditioning efficiencies. This facility is a direct result of our plans announced last year to build on our core strength in product innovation, including a focus on developing more fit-for-purpose products and solutions that are available at a wider array of price points to meet customers' economic and performance objectives. Another example is the very successful launch last month of our revolutionary TerrAdapt, the industry's first drill bit with self-adjusting depth-of-cut control elements that autonomously extend and retract to create an optimal cut based on the rock formation. This allows the TerrAdapt bit to automatically change its aggressiveness to maximize rates of penetration, while mitigating vibrations and stick-slip, which are the industry's leading cause of non-productive time. This breakthrough technology is already demonstrating its value in plays such as the Permian Basin. And on a recent run, the TerrAdapt bit increased the customers' rate of penetration by 27%, compared to the average rate of penetration for offset wells drilled through the same formations. Also within well construction, we have seen customers' continued preference for lower-cost completion products, such as frac plugs. This trend is an example of how customers, while more bullish on activity, remain focused on keeping costs down, in part due to the broader market uncertainties that are still lingering out there. In recognition of this customer priority, our newly launched TORPEDO composite frac plug, which was commercialized last month, is another recent example of a fit-for-purpose product that delivers higher performance, while lowering costs for customers. The plug, which features a single set of slips versus two, contains 40% less metallic and composite material, and is 40% shorter in length compared to standard plug designs, cutting mill out times by an average of 50% without sacrificing strength and meeting our customers' performance objectives. Now turning to well production, we expect to see our chemicals business grow, as production volumes continue to increase, which follows first quarter performance in which its revenue grew in line with production. Going forward, we also expect to see growth in this business as customers gain more confidence in making investments and as production maximization becomes more of a necessity due to the aging of wells that have recently come online. Shifting to international, in the first quarter we saw a very different set of market behavior and challenges, as customers remained cautious on spending in light of market uncertainties. And, as I said earlier, customer confidence in commodity prices remains one of the key elements that is required for a sustained industry recovery. In the international land market, while we believe activity has bottomed, and that is a positive, we continue to see pricing deterioration. Offshore, both internationally and in the Gulf of Mexico, activity and pricing continued to decline, as the current oil price environment dampened customer confidence in achieving economic returns using existing technology for those longer cycle projects. As you can see, the broader market conditions and customer behavior vary significantly by region and operating environment. However, with our leading products and innovative technologies, Baker Hughes is strongly positioned to capture share and capitalize on growth opportunities across all of our product lines and geographic regions. We're leveraging our strength in well construction, as I mentioned, to outperform competitors and win business in North America and globally. For example, in the first quarter, we set drilling records in the Marcellus and Utica basins by achieving 1-mile a day, 5,280 feet in a 24-hour period on four wells, two in each of those basins I mentioned. On the last well, Baker Hughes set a new record for the Marcellus, with a remarkable 7,380 feet drilled in 24 hours. Similarly, our well production business will remain a key differentiator in a market in which production maximization becomes even more critical. For example, in January we launched the TransCoil rigless-deployed ESP system in the Middle East in partnership with Saudi Aramco. This innovative technology, for both onshore and offshore markets, features an inverted ESP system, with the motor connected directly to a new proprietary power cable configuration. This eliminates the traditional ESP power cable to motor connection, which increases the overall system reliability compared to traditional ESPs. In addition, the TransCoil system is designed to be pulled and reinstalled on a coiled tubing unit, eliminating the need for costly rigs and reducing intervention costs. Our production chemicals product line was awarded a long-term contract to supply chemicals for an ultradeepwater field in Angola. The award, which was won based on clear product differentiation in the deepwater market, is an example of we are aggressively capitalizing on offshore opportunities as they become available. In addition, we were awarded a significant three-year contract to provide wireline services in the North Sea for a major operator. We also won contracts for multiple product lines, spanning drilling and evaluation to completions for a large subsea development project in Western Australia. In Mexico, Baker Hughes was awarded the largest portion of a multiyear offshore contract for a major operator. We will provide integrated drilling, completions, and workover services for an important shallow-water development for the largest project awarded in the marine region in Mexico. And, finishing with our efforts to market Baker Hughes' products, technology and expertise to local service providers globally, a customer segment which has grown considerably in the recent years, I continue to be pleased with both our progress and the customer response that we've seen. We're currently mobilizing to support the three agreements that we signed in the fourth quarter with service providers in the U.S., Mexico, and Malaysia. And in the first quarter, we executed a large direct sale with a local service provider in China and identified additional meaningful opportunities that are in the pipeline. As I've said previously, as this market segment matures, we believe it will become another source of consistent, profitable growth for Baker Hughes. In summary, we are executing on our strategy to leverage our strength and product innovation. We have the right portfolio of products and, in spite of continued industry challenges in some market segments, we are well-positioned to capitalize on growth opportunities globally. We believe this strong position will be further bolstered through our agreement with GE, to combine Baker Hughes with GE Oil & Gas, which we continue to expect will close in mid-2017. In short, this business combination will have the unique capabilities to deliver the technology and performance enhancements that our respective customers require to navigate the volatile industry conditions that we expect will continue. The combined company will have the ability to unite the physical and digital worlds, an innovation engine that is second to none, cross-industry knowledge that spans the full stream value chain and two outstanding teams of people. I am confident that the new Baker Hughes will be the provider of choice that can deliver the technology advancements and efficiency and productivity gains that customers industry-wide are calling for to ensure maximum success and value creation throughout every phase of our industry cycles. We continue to work constructively with the regulatory agencies around the world to obtain the required approvals to complete the transaction. And we remain extremely excited about the potential of this transaction to deliver benefits to our customers, value for our shareholders, and opportunities for our employees. And we will continue to keep you updated on developments as appropriate. Now with that, I will turn it over to Kimberly and I will be back after the Q&A with some closing thoughts. Kimberly?
Kimberly A. Ross - Baker Hughes, Inc.: Thanks, Martin. Good morning, everyone. Starting with our first quarter 2017 results, revenue for the quarter was $2.3 billion, down 6% sequentially. During the quarter, we grew our North America onshore business, particularly in the well construction product line. This growth was more than offset by the deconsolidation of our North America onshore pressure pumping business, lower revenue internationally, and reduced activity in the Gulf of Mexico. On a GAAP basis, the net loss for the quarter was $129 million, or $0.30 per share. Negatively impacting our results were $114 million of adjusting items, or $0.26 per share, which included the impairment and restructuring charges of $83 million after-tax, related primarily to severance and asset impairment, and merger cost of $31 million associated with the GE transaction. The adjusted net loss, excluding these adjusting items, was $15 million, or $0.04 per share, for the quarter. Adjusted operating profit before interest and tax for the quarter was $91 million, a sequential improvement of $70 million. Despite a decline in revenue, profitability increased sequentially, driven mainly by $84 million of bad debt recoveries in Ecuador, which stem from receiving government-backed bonds in exchange for outstanding receivables that had been previously reserved, and a $42 million benefit from no longer consolidating the North America onshore pressure pumping business. These were partially offset by the impact of reduced revenue internationally, mainly from higher margin year-end sales not repeating and continued pricing deterioration, and also reduced activity in the Gulf of Mexico. Free cash flow was a negative $174 million for the quarter compared to $610 million in the fourth quarter of 2016. This was driven mainly by $415 million tax refund in the U.S. in the fourth quarter and an annual compensation related payments in the first quarter. Now let us take a closer look at our operational performance. In North America, revenue for the quarter was $712 million, down $63 million, or 8%, sequentially. Excluding the $83 million in North America onshore pressure pumping revenue from the fourth quarter, revenues grew 3%, or $20 million, sequentially. This increase was driven by solid growth in our U.S. land business, primarily in the well construction product line, and the seasonal activity uplift in Canada, partially offset by a steep activity reduction in the Gulf of Mexico, including fewer completion deliveries. Also, revenue for our upstream chemical business, which represents approximately one-quarter of our North America revenue, grew in line with production. As Martin mentioned earlier, this business more closely tracks production volumes rather than rig count. Adjusted operating loss for the North America business was $23 million, a sequential improvement of $33 million. Excluding the $42 million of North America onshore pressure pumping losses from the fourth quarter, operating losses were up by $9 million. This was a result of the high decremental operating profit from the steep activity decline in the Gulf of Mexico, which more than offset the incremental operating profit from the North America onshore revenue growth. Also, the sharp onshore activity ramp-up in North America has caused short-term supply chain challenges in certain product lines and basins, resulting in some labor and material cost inflation. Moving on to our international results. We reported revenue of $1.3 billion, down $79 million, or 6%, sequentially. Latin America revenue was down by $24 million, or 11%, sequentially, driven by activity declines across the region and the seasonal product sales not repeating in the first quarter. Revenue in the Europe/Africa/Russian Caspian segment declined by $29 million, or 6%, sequentially. This is primarily due to non-reoccurring year-end product sales, seasonal activity reductions, mostly in the Russian Caspian area, and lower activity in West Africa, particularly Nigeria, as a result of labor union strikes. For the Middle East and Asia Pacific segment, revenues were down $26 million, or 4%, sequentially. The decrease in revenue was driven primarily by the reduction in year-end product deliveries and the impact of additional price reductions in the region. Internationally, adjusted operating profit was $157 million, up $72 million sequentially, despite the decline in revenue. This was driven mainly by the $84 million of bad debt recoveries in Ecuador, partially offset by the impact of reduced activity, particularly from the higher margin product sales in the fourth quarter not repeating and pricing deterioration. Revenue for the Industrial Services segment was $227 million, down 3% sequentially. The decrease in revenue was mainly related to a seasonal activity decline in the pipeline inspection business and reduced activity in our downstream chemical business resulting from lower refinery utilization. Adjusted operating loss before tax was $6 million, with profitability down $17 million sequentially. The decrease in profitability was driven by an unfavorable mix of revenue and seasonal activity declines. Profitability was also negatively impacted by mobilization cost for upcoming projects and other one-time expenses. Now, looking ahead, based on current activity growth trends, in North America we are forecasting revenues in the second quarter to modestly increase sequentially, as activity growth in the U.S. onshore well construction product line is forecasted to more than offset the seasonal decline in Canada and ongoing activity reductions in the Gulf of Mexico. Internationally, we are expecting revenues to remain relatively flat sequentially, as offshore activity reductions and ongoing pricing deterioration are forecasted to be offset by positive growth onshore, and the seasonal uptick of our Europe/Africa/Russia Caspian segment. Our Industrial segment revenues are projected to grow in the second quarter as a result of the usual seasonal activity growth. For the second quarter, we expect our income taxes to continue to be impacted by a geographic mix of earnings, valuation allowances, and certain discrete tax items. As such, and based on our current assumptions, we expect our income tax expense to range between $50 million and $70 million in the second quarter. To summarize, while we continue to face some market headwinds through the first half of 2017, we are well-positioned to capitalize on the opportunities ahead. We remain focused on getting our merger across the finish line, while maximizing return on invested capital, growing our top-line, continuing to proactively manage our cost structure, and reducing our working capital. And with that, let's go to Q&A. Alondra?
Alondra de Oteyza - Baker Hughes, Inc.: Thank you, Kimberly. At this point, I'll ask the operator to open the lines for questions. To give everyone a fair chance to ask questions, we ask that you limit yourself to a single question and one related follow-up question. With that being said, Vince, could we have the first question, please?
Operator: Yes, ma'am. Our first question is from Byron Pope of Tudor, Pickering. Your line is open.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, Byron.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning. Martin or Kimberly, just to help us frame North America with BJ now deconsolidated, can you just size for us on a – just the size of U.S. land versus Canada versus Gulf of Mexico? Clearly, Gulf of Mexico was the biggest headwind in Q1 and some follow through in Q2. But, could you just help us size those different businesses? Just trying to get a feel for the mix within North America, again, with now that the North America land pressure pumping business is no longer consolidated.
Kimberly A. Ross - Baker Hughes, Inc.: Yeah, Byron, good morning. So, if you look at it, we said in the notes – prepared remarks that approximately 25% of our business is chemicals. If we then look at it, it's about 60% is U.S. land and the remaining is Gulf of Mexico.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. That's helpful. And then on the international side, Martin, I think your commentary with regard to pricing is similar to your primary competitors. And is it confined to a few geo markets and customer types or is it more broad-based? And just curious if you can provide some incremental color as to what's driving this what seems to be renewed pricing pressure on the international side.
Martin S. Craighead - Baker Hughes, Inc.: Byron, I wouldn't say it's renewed. And I'd say the intensity, if you will, of negotiations and tenders has been pretty consistent. But what you do have is a roll-through now of renewals on contracts, which is starting to impact the bottom-line. And as you heard Kimberly say, we had some restructuring charges, some of that was in the Eastern Hemisphere to get the top-line and the cost structure better aligned as these previously agreed-upon discounts roll through. As to severity by region, obviously, where you've seen some of the more striking turndowns, given the nature of the fields or the economics for our customers, what comes to mind particularly is the continent of Africa, parts of Latin America, then the severity is pretty dramatic, frankly, simply because there is not enough work in some cases for the number of suppliers that have traditionally been there. So it's a bit of a street fight. But I wouldn't say necessarily it's gotten any worse, I think, from – but from a numbers perspective you're starting to see the manifestation of some of these prior agreements come into play. The other thing that I'm not sure is fully understood, and I want to be careful how I say this, Byron, but these aren't necessarily take-or-pay agreements. These are agreements and they are contracts. But – you've been in this business a while, as you see activity start to rebound in some of these places with so much capacity coming back out, just like the customer community engages their suppliers to try to get the costs in line, the service community is pretty doggone good as well at reengaging with the customers to make sure that even in the middle of, so to speak, contracts and agreements, we'll reengage to make sure that we're getting the fair price relative to the market. So these things can – they can change pretty quickly as well.
Byron K. Pope - Tudor, Pickering, Holt & Co. Securities, Inc.: Thanks for the color. I appreciate it, Martin and Kimberly.
Martin S. Craighead - Baker Hughes, Inc.: You bet.
Operator: Thank you. Our next question is from James West of Evercore ISI. Your line is open.
James West - Evercore ISI: Hey. Good morning, Martin. Good morning, Kimberly.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, James.
James West - Evercore ISI: So, Martin and Kimberly, you kind of both alluded to in the North American land market, I guess, some challenges as the ramp-up has occurred. I think it's pretty well understood by us, the challenges in the fracking business and what's happened there. But as we think about directional drilling and other product lines or completion tools, where you guys have a huge position and a market leading position, what are – outside of, say, just pure labor, what are the bottlenecks that you're starting to run into now? Is it supply chain? Is it getting motors? I mean, what's causing that?
Martin S. Craighead - Baker Hughes, Inc.: No, it's a good question, James. As you well know, while the pressure pumping business has a, let's say, greater command or demand of people and logistics and freight, a directional drilling crew still needs vehicles, it still needs 18 wheelers to move equipment, crew still need hotel rooms, inflationary pressure on bonuses and day rates, and so forth. So it's – on a percentage of revenue basis, I don't have the numbers at the finger of my tips relative to when we were consolidating pressure pumping. But no business line right now in North America, and particularly in a couple of the more active basins, is immune from cost inflation and it's something that we're working to manage, manage aggressively, both internally as well as reengaging with the customers to try to get some uplift.
Kimberly A. Ross - Baker Hughes, Inc.: And I'll just add to that. If we look at, for example, on supply chain, where obviously reductions had to take place both internally, as well as externally, from suppliers, you see over time starting to kick-in. Also on some of the raw materials, for example in chemicals, those are tied to oil prices. So you see a bit of cost coming in there. Copper, prices are going up. And in areas like cutters for drill bits also, where we've seen obviously a significant uptick in that area. So that's a particular area in drill bits, where both on the labor side, as well as the supplier side, we're seeing some constraints.
James West - Evercore ISI: Okay. And then, I guess, the follow-up there is how long until – or is it happening now, were you able to push through these inflationary pressure to your customers via pricing?
Martin S. Craighead - Baker Hughes, Inc.: It's happening now. I'd say March was maybe where we started to get some better visibility to a couple of the key product lines, getting more price, as well as the...
James West - Evercore ISI: Okay.
Martin S. Craighead - Baker Hughes, Inc.: ...customer accepting more push-through. But, James, it's – price isn't about just covering our inflation, internal inflation. It's...
James West - Evercore ISI: Sure, you won that price, for example (33:10), yeah.
Martin S. Craighead - Baker Hughes, Inc.: Absolutely.
James West - Evercore ISI: Yeah, okay. Very helpful. Thanks, guys.
Martin S. Craighead - Baker Hughes, Inc.: Thank you.
Operator: Thank you. Our next question is from Sean Meakim of JPMorgan. Your line is open.
Sean C. Meakim - JPMorgan Securities LLC: Hey. Morning.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, Sean.
Sean C. Meakim - JPMorgan Securities LLC: So, Martin, I was hoping that you touch on artificial lift, as we're seeing completions now start to catch-up to drilling activity in U.S. onshore. I was curious how that's translating into onshore sales of artificial lifts. Kind of where you're seeing – what regions you're seeing traction for your product specifically?
Martin S. Craighead - Baker Hughes, Inc.: Good question, Sean. In light chemicals, it's – if you're sitting down with an asset manager or a drilling completion manager, as his portfolio of wells are starting to come online, then the conversation intensely shifts to, all right, let's put these wells on production, what's the best approach. And I characterize – I mentioned this bifurcation. There's certainly a push for productivity focus, as well as some customers are more efficiency-focused, depending on the economics in their own unique situations. And when I say efficiency, these would be artificial lift systems that are more traditional in scope, lower upfront costs, something like a gas lift, maybe a rod lift. Your more productivity focused customers are more ESP driven. They have a profile when they look at the decline curve. Do they start with ESPs? How far can that ESP take them? And then do they have a backup plan to put rod lift on the curve? Obviously, when we buckle up with GE Oil & Gas, that will help the conversation. So, obviously, the West Texas area is showing the strongest near-term growth, yet we're seeing, believe it or not, pickup in the Bakken as well as in Colorado. So it's for us naturally, the oil basins, but it's led by the West – by West Texas.
Sean C. Meakim - JPMorgan Securities LLC: And last cycle, operators who are inclined to put lift on as soon as they are completing a well, is there bit more of a gap this cycle, less incentive...
Martin S. Craighead - Baker Hughes, Inc.: Yes.
Sean C. Meakim - JPMorgan Securities LLC: ...getting them right away? Okay.
Martin S. Craighead - Baker Hughes, Inc.: This uptick has been, I think, a little bit more – a little steeper, as well as the ability to get these wells completed in a timely fashion. I think you guys have reported the increase in the delay between finishing the drilling and getting it online as the DUCs have – seems to have increased in number. So, yes, this one is a little bit more delayed. But I think the customers, as these wells start to come online, their focus from drilling and completions is going to shift to optimization and getting as much drainage and recovery as they can. And that really puts something like an ESP that can be adjusted in – it's really the best solution and not to say anything against rod lift and certainly having that in our portfolio going forward will give us a much better solution or offering to the customer to maximize that recovery per well.
Sean C. Meakim - JPMorgan Securities LLC: Got it, that makes sense. And just to tie in little more just the same product line with different application, we're seeing some offshore FIDs this year, mostly for tiebacks, sounds like some more will be coming. Can you talk about the potential there in terms of deploying ESP technology and there is some of these tieback opportunities for perhaps some subsea boosting systems?
Martin S. Craighead - Baker Hughes, Inc.: Yeah. So we've had – given the engineering that goes into a Baker Hughes Centrilift ESP, it's started for offshore applications. And now that we've – the world attention has kind of moved to these unconventionals and so forth, we've obviously broadened our portfolio to make that offering. But our core business in ESPs continues to be offshore applications. And we are encouraged by, as you say, the number of – kind of attention being shifted back to the brownfields and the tiebacks. And I would say subsea boosting as well as horizontal applications, lot of these tiebacks, just don't have the reservoir pressure that they used to have. So we're looking at dual ESPs, we're looking at horizontal ESPs to be put into the surface flow line infrastructures. And obviously, the GE Oil & Gas strong presence in subsea design and engineering separation power, to the degree that we can work with GE Oil & Gas at this stage in terms of managing the regulatory issues we've identified and have been approached by a couple of these customers to kind of engineer a comprehensive solution between Baker Hughes and GE Oil & Gas, and to the degree that we feel comfortable having those conversations, at this stage prior to the merger closing, we're engaging.
Sean C. Meakim - JPMorgan Securities LLC: Very interesting. Thank you, Martin.
Martin S. Craighead - Baker Hughes, Inc.: Sure. Thank you.
Operator: Thank you. Our next question is from Jud Bailey of Wells Fargo. Your line is open.
Judson E. Bailey - Wells Fargo Securities LLC: Thank you. Good morning.
Martin S. Craighead - Baker Hughes, Inc.: Good morning, Jud.
Judson E. Bailey - Wells Fargo Securities LLC: Question – Martin, you touched on in your comments that the bifurcation you're seeing for directional drilling systems – or drilling overall in the U.S. high-end versus kind of more conventional motor, is there a way you could help us think about or sizing – well, if I were to look at your portfolio, your revenue mix, however you want to frame it, like what percentage of your business is now dedicated towards high-end? I would imagine it's still relatively small, but we're trying to think about the mix you guys have and help us size up maybe the growth opportunities as you see that market continue to evolve.
Martin S. Craighead - Baker Hughes, Inc.: Yeah, and that's a tough one to answer, Jud, because depending on who you talk to, and depending on their portfolio and depending even on the customer defining high-end, I got to be honest, some people will say that what they are doing is high-end and the rest of us would scoff, but let me see if I can answer it this way. If I go back to what the customers' needs are and there're certainly a – there's a customer community out there that is looking for efficiency above all else. And there is a more, let's say, higher profile operator that is also looking to maximize the recovery and the production to the lifecycle, and I'd say that's probably by nature a little bit more longer-term focused player, more sophisticated in its in-house engineering, has more comprehensive plans about the way they complete the well, the way they put it on artificial lift, do they have on electrical grid or they're going to go to some kind of power to lift or gas to lift, and in that segment where that engineering discipline is pretty hefty inside, we're seeing some phenomenal ambitions around lateral lengths, multi-laterals, sliding sleeves or OptiPort 100, 200-stage type of discussions, pretty sophisticated artificial lift. So, on a percentage basis, let me just see if I can – I'd say that the drill bits are the fastest growing conversion, whether it's Kymera or TerrAdapt, followed by rotary steerables, which in our total drilling profile, may be 25% of the strings, but certainly on a margin basis probably 80%. That's the sector that's sold out. That's the sector we're seeing pricing gains coming. Certainly the performance justifies our higher prices. In my prepared remarks, over 7,300 feet in one day is unimaginable up in the Marcellus just a year ago. It's frightening to think a year from now what we'll drill in one day. So it's hard to put a percentage on it. On the completion side, the efficiency players are more driven to the plug-and-perf. But as I said in my remarks, the TORPEDO plug being 40% shorter than the standard plug, there is some serious engineering in that. I mean one single set of slips versus two, the lower risk of drilling those out. But that all said, you can only – from a coiled-tubing drill-out perspective, you can only get so far before you lose the torque at the bottom of the hole to drill those plugs. So then you start talking about the dissolvable plugs and our dissolvable plug business, I've got to tell you, in the first quarter was pretty strong. But on the percentage basis, the dissolvables as a percentage of total plugs is still very minimal, but growing. So I think the key thing to remember with Baker Hughes is that, on a drilling perspective, we obviously have the pole position on high-end drilling, high-end completions. We're opening the Motors Center of Excellence later this year in Oklahoma. It's a pretty sophisticated manufacturing repair center that will lower the cost per unit, turn things around faster, and so our ability to play across the entire spectrum in that bifurcation – I don't mean to point out that the bifurcation is somehow a challenge. It's simply what's evolving in the market, and understanding those segments – the devil is in the details – allows us to be more targeted and maximize the opportunity. I don't know if that makes sense or answers your question.
Judson E. Bailey - Wells Fargo Securities LLC: Yeah, no, the market is moving very quickly and so that color is very helpful. Thank you for that. My follow-up is meant for Kimberly. You gave us some revenue guidance for international and North America. Could you maybe help us think about how margins would look in each, North America and international, and maybe if you're willing to take a step further, how to just think about maybe incrementals in the North America business in the back half of the year, assuming we continue to see growth and hopefully some pricing kind of come through?
Kimberly A. Ross - Baker Hughes, Inc.: Yeah. So we're not really giving any color or guidance on the overall margin for North America or internationally. What I will say is, as we noted before in international, we do expect to see some ongoing pricing deterioration, and we'll expect that to offset some pockets of growth that we expect to see onshore. And obviously, we have the uptick in Europe. Also, we have continued to focus on cost reductions. As you saw in Q1, we had some additional charges that we took for restructuring, as we look at those markets and determine where we need to take some additional costs out going forward. And a lot of this really depends on how the markets develop. If we look at the incrementals for North America, a few things affecting that, obviously, cost inflation, the mix that we have, Gulf versus on land. And we all need to keep in mind also that the chemicals, you don't see the same amount of incrementals going through as you do on the rest of the business. So we need to keep that in mind. And then also artificial lift is picking up, but it does lag the rig count. So there are some items there with regards to incrementals. And when I look at the fact that we will have cost inflation, we're also continuing to look at opportunities to get cost out, not only of the organization, where I think we've done a lot of work, but now really on supply chain and the manufacturing of the products, and whether it's by engineering solutions or working with suppliers. And I think this is where we have a real opportunity when we combine with GE to make some big steps with regards to some of those costs going forward.
Judson E. Bailey - Wells Fargo Securities LLC: Okay, great. I appreciate it. I'll turn it back. Thank you.
Operator: Thank you. Our next question is from David Anderson of Barclays. Your line is open.
David Anderson - Barclays Capital, Inc.: Great. Thanks. So, Martin, you highlighted the 3% growth in North America, it was a little bit lower than we were expecting this quarter, and only kind of modest growth in U.S. – in North America in second quarter. I was wondering if you can kind of expand a little bit more on that. At the beginning, you kind of broke down that business, but in the past you said like 50% of that business is going to be tied to the rig count, a quarter is going to lag, and the remaining is going to be tied to oil prices. Can you just kind of walk through those buckets as you see them progressing right now? I mean, it sounds like – well, I guess, kind of imply – will there be a big kind of step-up in revenue in the back part of the year, sort of this demand that we're kind of waiting to come through here?
Martin S. Craighead - Baker Hughes, Inc.: Look, we certainly expect the top-line to grow going forward, given the activity forecast we see in North America. The exposure to Baker Hughes, though, in the Gulf of Mexico is pretty substantial. And that, obviously, had an activity decline, as well as a mix shift between not only the activity decline, but also kind of the movement of some rigs from the deeper waters on to the shelf. If we move on land for the U.S., we're encouraged that, just like the previous question, the percentage of the drilling business that will move towards rotary steerables can only increase, given the fact that the lengths that our customers continue to try to pursue. And there is another subtle, I think, element to this, is that the barriers here – and I think there were some notes written on this, some good notes over the last couple of weeks, that length for length's sake isn't going to necessarily continue to produce the results. We're getting into some interference issues, boundary issues, which means that as our customers are drilling these, the ability to land the well spot-on increasingly means that a rotary steerable with some formation evaluation instrumentation in the string is increasingly critical. So, we're starting to see a shift from just blow and go these holes down as fast as you can, which is certainly a big part of the efficiency gains. But we're going to have to be very careful working with our customers, and our customers primarily, to make sure that these things are drilled as efficiently as possible. So I would say that you're going to see a strong ramp-up in the high-end mix of the drilling side of the business, but we're also investing to make sure we backstop and take our fair share of the more modest parts of the drilling business. And there's another very significant, I think, tailwind that Baker Hughes has in North America, a lot of noise around what's North American production going to do. And we can either say that we're – it's disappointing that it's going to grow or it's not going to grow as fast, we don't really know, but the underlying factor is that our chemicals business and, to a large part, the artificial lift business grows with North American production. And these wells that have just come online, they're going to age quickly in terms of the decline curve. So we see differential growth, not compared to the rig count, but we see differential growth relative to what traditional growth has been in our core chemical product line. So, I mean, when you go through each one, obviously, something like wireline is somewhat stagnant. But on the flip side, our fastest growing business right now in North America on a percentage basis is our drill bits business, and that's smoking it on just about every front we look at. And the introduction of perhaps one of the most revolutionary products that I've seen in my career is this TerrAdapt bit and what it's capable of doing. And the last thing I want to say on this is, you guys try to figure this, the future out of these North American basins, I think if you fast-forward a couple years, the role that the drill bit plays in making sure that these wells are optimized and drilled as efficiently as possible, you're going to see the bit become more of the conversation, and that's obvious. I'm not just saying that because that's a space we own. I'm telling you that what is going – what the bit is going to do to improve optimization, as well as placement, is just not going to be about the cutter. The bit itself is going to play a leading role. So I hold high expectations for what our drill bit business is going to deliver.
David Anderson - Barclays Capital, Inc.: So, Martin, towards the beginning of your remarks, you just mentioned that kind of Gulf of Mexico continues to be the headwind. Just kind of curious, I mean, do you think second quarter is a bottom here on the Gulf side. And just kind of secondarily, you'd mentioned some tender wins and be in the right places offshore. What does that mean to Baker Hughes, be in the right places offshore?
Martin S. Craighead - Baker Hughes, Inc.: No, a great question. What it means is that, is this an operator, and the ones that we won, the operators are large position holders, their company profile means that they have to make the Gulf of Mexico work. They have to the engineer some of the cost out. They're excited by – in one of the big contracts, they're excited by the buckling up with GE Oil & Gas, who is also a currently large provider. So over the three, five-year term of that contract, we have it now in our portfolio, not for what the next couple quarters will deliver, but what...
David Anderson - Barclays Capital, Inc.: Okay.
Martin S. Craighead - Baker Hughes, Inc.: ...GE and us will be able to do to together. So I'm not willing to call a bottom on the Gulf.
David Anderson - Barclays Capital, Inc.: Okay.
Martin S. Craighead - Baker Hughes, Inc.: But we should hopefully be near it.
David Anderson - Barclays Capital, Inc.: God, I hope so. Right. Thank you.
Kimberly A. Ross - Baker Hughes, Inc.: We did too.
Martin S. Craighead - Baker Hughes, Inc.: Thanks, David.
Operator: Thank you. Our next question is from Angie Sedita of UBS. Your line is open.
Angeline M. Sedita - UBS Investment Bank: Thanks. Good morning, guys.
Martin S. Craighead - Baker Hughes, Inc.: Hi, Angie.
Angeline M. Sedita - UBS Investment Bank: Hi, Martin. So could you give us an update on the progress on the asset-light model and the opportunities that you're seeing both internationally and the U.S. and just some color there?
Martin S. Craighead - Baker Hughes, Inc.: I can, Angie. Thanks. Yeah. We kind of coined that term this time last year and we had two key elements of that. First was, taking a look at the North American business as it relates to the capital intensity of at that time our largest product line, pressure pumping. We worked through the summer and the fall. We deconsolidated that. This is our first quarter of not having that capital intensity. We love the arrangement we made. We love the CSL guys that they're really competing head-on. The business is growing strongly. No capital calls on us, which we love. And, I mean, I had somebody say to me the other day, it's pumps for hire now. The disaggregation on that business continues. I think that business, in particular, is going to be owned by the independent service companies. Local always wins, whether it's the Bakken or the South Texas. And these guys play local. They have a price point that is shocking and they're winning. So we love having 47% of a great business. Moving to the alternative business models, where we said that every product line and every basin, including North America, has to win. Let me tell you, Angie, there is not a country in the world, including the U.S., that isn't all about local value, and some are more aggressive than others. But in my 30 years in this business, everything else being equal, Angie, and it's not always technology that wins, frankly not always, which isn't good for us all the times, it's not always price that wins. But let me tell you, local always wins and I don't care where that is. It can be the Bakken or it could be in the Congo, and we signed up three really nice contracts last quarter. We had a huge sale this quarter for a local provider in Asia. Our pipeline is stacked and full. Now, I want to be honest and frank, though, as well. I mean, a lot of these new startups are challenged. I mean, there is no market in the world that's great right now, not for the big guys, not for these little startups. But in terms of the relationships we're building the ability for them to be putting Baker Hughes products into the market, once they get their feet under them, it's looking – it's definitely the right move and it's looking good. So we couldn't be more happy with the way that business is going to evolve.
Angeline M. Sedita - UBS Investment Bank: Right. That's helpful. And then on the international pricing, everybody is seeing these challenges on the pricing side, but how long do you think this pricing continues? Does the pricing pressures and the rebidding continue throughout 2017 or do you see potentially an end in sight?
Martin S. Craighead - Baker Hughes, Inc.: I think the end is in sight, Angie. I think we're going to experience some of these roll-throughs. It's still pretty aggressive. But I think the second half the conversations are going to kind of wane around pricing. And as I said, certainly on the land side of the international markets, it's waning now. The offshore not yet, but I think the 2017 will – the end of 2017 will be the – the worst will be over.
Angeline M. Sedita - UBS Investment Bank: Right. Okay, great. Thanks. I'll turn it over.
Martin S. Craighead - Baker Hughes, Inc.: Okay, folks. Listen, thanks, Angie. I want to make some closing comments. First, I want to thank everybody for being with us, but a couple of key points. First, on the markets. The international markets we think have reached bottom in terms of activity, but pricing pressure will linger as activity improves in the second half of the year. In North America, we continue to see growth and some positive pricing trends in certain basins on some certain – or specific product lines. The second point I want to make is that our portfolio is very well-positioned to capitalize on these market dynamics. The chemical business is gaining share and is positioned to grow with increased North American production growth. The artificial lift business, which does lag the rig count, is seeing increased demand. Key product lines in our D&E portfolio are absolutely sold out and we're gaining pricing momentum. We have the most comprehensive completion offering of anyone in the business, and yet we still have some pretty incredible launches in later half of this year that we'll tell you about when those happen. And the asset-light strategy that Angie just asked about, whether it be the deconsolidation of the North American pressure pumping business or the new channels to market predominantly international are gaining traction and are going to improve our capital returns and continue to grow our margins. And then the final point I want to talk about is the GE deal. Every element of the Baker Hughes strategy that we've laid out for you over the last 12 months is enhanced and accelerated by the buckling up with GE Oil & Gas. New product development is going to be accelerated via access to the technology, breadth and depth within the GE store. Supply chain synergies will continue to fuel product, cost reductions. Our go-to-market strategy will leverage the capabilities of a full stream service sector company with unparalleled geographic access. And finally, and I think most importantly, and where the customer community is certainly heading is that Baker Hughes will be uniquely positioned to drive the digital transformation, if not revolution, so badly needed in the upstream oil and gas sector. So that's our call for the quarter. I want to again thank everybody for joining us. Bye.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Everyone have a great day.